Operator: Good day, ladies and gentlemen, and welcome to the ASUR Third Quarter 2017 Results Conference Call. My name is Shannon and I will be your operator. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of today's conference. [Operator Instructions] As a reminder, today's call is being recorded. For opening remarks and introductions, I'd like to turn this call over to Mr. Adolfo Castro, Chief Executive Officer. Please go ahead, sir.
Adolfo Castro Rivas: Thank you, Shannon, and good morning, everybody. Thank you for joining us on our conference call to discuss our third quarter results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs, and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those factors that may be beyond our company's control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. As announced yesterday, we concluded the acquisition of a controlling stake of approximately 92.42% in Airplan, for a purchase price of approximately MXN3.7 billion. The acquisition was financed through a MXN4 billion syndicated loan facility contracted with BBVA Bancomer, Grupo Financiero BBVA Bancomer. In 2016, 6 airports operated by Airplan in Colombia, including the international airport in Medellín, the second biggest in Colombia, have a total of 10.4 million passengers. These represented of 37% of the 28.4 million that traveled through our Mexican airports last year. We expect to consolidate results from these operations into ASUR's financial statements as of October 19. The acquisition process of Oriente, the other airport group in Colombia, we seek to acquire, is delayed and we have not yet received all necessary regulatory approvals required to close this transaction. Therefore, we have agreed with the sellers to make commercially reasonable efforts to obtain the pending approvals and if successful to negotiate in good faith, the purchase price. Remember, our original agreement contemplated a total purchase price for Airplan and Oriente of approximately MXN4.9 billion or $262 million, subject to a series of price adjustments. You can find more information of these transactions in the information [bolating] [ph] filed yesterday in Mexico, and with the Securities and Exchange Commission. Now, moving on to review for our operations, September was an eventful month in terms of climatic events, with three major hurricanes affecting our passenger traffic. Nevertheless, we delivered a good set of results this quarter, given the consensus and despite the challenges facing Puerto Rico with Hurricane Maria. The dedication of our team in Puerto Rico allows to resume operations just 24 hours after a Category 5 hurricane passed over the island. Note that in Mexico City Airport, which represents around 61% of our domestic traffic, had to closed for almost two days during September, due to a major flooding and the earthquake in Mexico City. Total passenger traffic reached almost 10 million in the quarter, with growth slowing to a 4.9% year on year as a strong growth in Mexico of 8% was affected by a weaker performance in Puerto Rico, posting a decline of over 5%. Operations at San Juan Puerto Rico airport were suspended on September 19 and resumed on a limited basis on September 21. Starting with 10 flights a day, increasing it aggressively to 41 daily flights at the end of the month compared with a daily average of 70 flights in 2016. Today, we are almost back to 70 average daily flights, but with a lower factor in terms of arrivals. While we are currently evaluating damages to airport infrastructure to assess reconstruction cost and receiving insurance approvals, note that our airport infrastructure is insured against material damages with a maximum deductible of $10 million. Terminal B was affected and is closed. However, it does not represent the reduction in traffic as we are in the low season and we expect to resume operations before higher demand materialize. Traffic in Mexico was mainly driven by international traffic, up over 9%, while domestic traffic was up almost 7%. Cancun continues to report healthy growth over 9%, with positive contributions from the majority of ASURs airports. [Our deep plan] [ph] however, continue to face the challenges in oil industry environment and will be affected even more by the reduction in slots to domestic airlines in Mexico City airport. Traffic between Mexico, Canada and the United States represented 85.8% of the total traffic. Now, moving on the P&L for the quarter, consolidated revenues excluding construction services were up 46% year on year with Aerostar representing 22% of these. Aeronautical revenues remain the strong 50% year on year, driven by traffic growth and the inclusion of Aerostar. We reported robust commercial revenue growth, up 45% with Aerostar representing 12% of consolidated commercial revenues. Reflecting our focus on driving commercial revenues, consolidated commercial revenues for passenger rose 5% to MXN99.5 reaching MXN101 in Mexico, up 6% year on year. Looking ahead, we expect to achieve further growth, following the opening of Terminal 4 at Cancun Airport. Operating cost and expenses ex construction cost rose 68 year on year without Aerostar contributing with 24% of the total. In Mexico, cost ex construction rose 14% mainly due to the higher cost of services, as in the previous quarter, these reflect increase in energy cost as the cost per kilowatt-hour increased by 21.6% year on year. Along with higher maintenance expenses, higher cost from sales related to the 11% increase in commercial revenues from direct operations. And also, we recorded additional cost in connection with acquisitions we're making in other projects. Higher cost also reflecting the hiring of employees for Terminal 4 as they are trained in preparation for the opening this quarter. Consolidated EBITDA was up 40% year on year, increased MXN1.9 billion, with Aerostar contributing 18% of the EBITDA. Adjusted EBITDA margin, which excludes construction revenue and cost contracted 335 basis points to 68%, reflecting the lower comparative EBITDA margin of Aerostar. Note, however that year-on-year, EBITDA margin at Aerostar improving - improves by over 550 basis points. EBITDA at our Mexican operations remain strong, up 14% year on year with adjusted EBITDA margin stable at 71%. In terms of CapEx, as we invested a total of MXN313 million in the quarter. Of these, MXN287 million were allocated to our Mexican operations, mainly in the construction of Terminal 4 that is on track to open by the year end. While MXN26 million were invested at San Juan, Puerto Rico airport. Moving on the balance sheet, we closed the quarter with a healthy balance sheet with a net debt to last 12 months EBITDA ratio of 1 time, compared to 0.1 times at the close of three quarters 2016. Total debt increased to almost MXN15 billion in the quarter from MXN4 billion in second quarter 2016, mainly reflecting the debt held at Aerostar along with a MXN4 billion loan at Cancun Airport to finance the position of the Colombian airports. Note that 72% of our debt is denominated in U.S. dollars. Before reviewing our standalone results, please note that to comply with Securities and Exchange Commission regulations, I will not be discussing the standalone financial performance of Aerostar prior to the period in which this subsidiary was consolidated into ASUR's financial results. That is before June 1, 2017. For this reason, we have not included in our third quarter results any financial information or Aerostar standalone results for the nine months period ended September 30, 2016 and 2017. These same criteria will apply to the standalone financial information of our plan before the date of acquisition. We will start consolidating these results into our financial statements are starting October 19, 2017. Moving ahead, revenues at LMM Airport for the quarter declined 1% driven by lower non-aeronautical revenues, while aeronautical revenues remain practically flat despite the 5.5% decline in passenger traffic. Commercial revenues per passenger for the quarter rose 3% to MXN95.9. Operating costs were down 11% year-on-year, mainly reflecting lower cost in services resulting from a decline of 13.6% in energy consumption, along with the lower amortization and depreciation. Finally, Aerostar posted a 10% year-on-year increase in EBITDA reaching MXN349 million, reflecting higher operating leverage and the competition of the remodeling plan last year. EBITDA margin expanded 558 basis points to 56.1% in third quarter 2017. Note that sequentially EBITDA margin has - margin was seasonally lower, as in the second half of the year margins tend to be lower. This year in particular results of the - in the second half will be impacted by aftermath of Hurricane Maria. Before opening the floor for questions, let me mentioned that we are working on our master development plan proposal, which we will be presented to the government by the year-end. This completes my prepared remarks. And now, I will open the floor for questions. Shannon, please go ahead.
Operator: Thank you, Mr. Castro. [Operator Instructions] First question comes from Leandro Fontanesi with Bradesco.
Leandro Fontanesi: Hi, thanks, Adolfo, for the call. On my side, if you could provide some clarification on Airplan financials. So the first question that I have is regarding the cost. So there is a big situation with - if you compare the cost, both in terms of cost of services and SG&A in 2016 compared to the first half of 2017. So if you could provide some color and if there is any nonrecurring cost that we should consider in our analysis? And the second point, in the - if you consider the revenue from construction, the cost from construction you had close to MXN520 million of profit related to construction, so as you consolidate Airplan, starting October and going forward, is it fair to assume that your revenue for construction and cost will be matched as you do for ASUR and you no longer have these profit on construction? Thank you.
Adolfo Castro Rivas: Leandro, I said, during the initial remarks I cannot comment on resource previous to our acquisition of that. Yes, you're absolutely right, the numbers we presented in the pro forma have an MXN800 million expense in administration during the second half of the year that is making the difference. Also in the case of construction profit, you're absolutely right, there is some construction profit that is not normal in the case of ASUR, where we basically present the same revenue - the same figure for costs as it is for revenue. In terms of construction in the case of Airplan, it should be a non-recurrent situation because most of the construction has to be done during this year and the year after. That's what I can share with you.
Leandro Fontanesi: Okay. Thank you. And if I may, one more question is, so you plan to open the Terminal 4 for Cancun in the fourth quarter, should we expect, maybe in fact in terms of margins as you ramp up this new terminal in the following quarters?
Adolfo Castro Rivas: That's a good question, Leandro. As I have said before, our cost to operate Terminal 4 is also presented in our third quarter results because as I said in the initial remarks, we started hiring people to be trained and to be ready for the opening of Terminal 4. I would say, Terminal 4 opening should occur before this month is over, so we're expecting this to be open the last day of this month of October. Going forward, of course, our cost will increase as a result of these opening. Just to give you an idea the size of this building. This building is able to operate between 8 million to 9 million passengers which is what Montreal itself is operating; other way to see this, this will increase the capacity of Cancun Airport by almost 40%, so this is a major building. It's another 70,000 square meters, plus 120 in terms of the apron, plus another 150 in terms of the runway, the connector between the two runways. So, yes, you will see an increase in our cost as from the third quarter because of these new build that should be in operation, the last day of October.
Leandro Fontanesi: Perfect, thank you very much, Adolfo.
Adolfo Castro Rivas: Thank you.
Operator: Next question comes from Stephen Trent with Citi.
Stephen Trent: Good morning, Adolfo. And thanks very much for taking my questions. Just a few quick ones for me. I think you mentioned San Juan is up to 70 daily flights if I heard you correctly. And any color as to what is normal peak-hour air traffic movements at the airport?
Adolfo Castro Rivas: Hi, good morning, Steve. As I said before, more or less today we are operating the same as what we were operating last year. The difference we have today is the load factor in arrivals that is not the same. It's lower than how it was a year ago.
Stephen Trent: Okay, got it, very helpful. And in terms of the Colombian initiative here, can you refresh my memory as to the regulation there? Is it a periodic mandatory regulatory review as it is in Mexico? And if so, any color on what the calendar is for that?
Adolfo Castro Rivas: Yeah, good question. No, we have complete different regulatory regime there. There is no review of the Master Development Plan every five years as we have in Mexico. The way that it is there is that we have a commitment today of certain works that we have to do. Those numbers are being presented in the document we file with the Securities and Exchange Commission and the Mexican Stock Exchange. There is no review. Nevertheless, this can be reviewed by the parties. I would say that today this company has around 20 amendments of its original document, so they have reviewed these 20 times. But it has to be done in agreement between the parties. So the document, it is today states a certain words that have to be done by the company. In terms of rates, the companies, the one that fixes the rates for the regulated activities, so those [economical activities] [ph]. So we do not have anything to say there. And the other major difference is the terminal agreement. As I said, during the first press release published in April, they move - the terminal agreement is moving. It's moving in accordance of the moment when the company recuperates the regulated assets, and that is one - the government needs the one that is in charge of the regulated rates. So if I don't remember wrong, the period we mentioned for this specific company was, as from the year 2033 up to the year 2048. So it has a minimum and it has a maximum, and between this period of minimum and maximum, the concession will be over once. The company recuperates fully with regulated assets.
Stephen Trent: Very helpful, Adolfo. And in that, is there any - I guess, one, is there any chance to renew once it expires? And two, on Airplan just a follow-up from the - with the gentlemen from Bradesco's question. Any view as to why Airplan's equity capital base is so low, or if there something going on with team's earnings? And I'll leave it there.
Adolfo Castro Rivas: Okay. In terms of the possibility of renewing the case of the expiration, and the contract doesn't say anything about it. I believe, we don't have the same chance as it is in writing in the case of Mexico. So that is, what I can say for the moment. In terms of the equity, yes, you're absolutely, right. This company presents at completely different level of debt in comparison with what we have in Mexico. Comment in terms of the debt they have that. I can say that, what I can see is being negotiated in good terms from a financial perspective.
Stephen Trent: Okay. I'll let someone else ask a question. Thanks for the color, Adolfo.
Adolfo Castro Rivas: Thank you.
Operator: Next question comes from Natalia Zamora with GBM.
Natalia Zamora: Hi, thank you for taking my question. My question is, could you provide an estimate of - and how much where maintenance work regarding the damage to the airport in Puerto Rico will amount you? Thank you.
Adolfo Castro Rivas: Hi, good morning. Well, we do not have yet an official number of the real damage that we suffered in Puerto Rico, because of the Hurricane Maria. The best guess that I have today to share with you is close to $60 million. Of course, as I said during the initial remarks, we are insured and the maximum deductible for a catastrophic event is $10 million.
Natalia Zamora: Okay, perfect. Thank you. Very helpful.
Operator: Next question comes from Marco Montanez with Vector.
Marco Montanez: Hi, Adolfo. And thank you for the call. Two questions, if I may. The first one, could you share with us to implied transaction multiple of the acquisition of Airplan? And the second, how to get any estimate for the committed investments for Airplan in the next year? Thanks a lot.
Adolfo Castro Rivas: Hi, good morning. Well, you have - in terms of your second question, you have the numbers in the document we presented. In terms of the first one, it's hard to say, an exact number, because many people have different views on this, but something between 5 to 6 could be the number.
Marco Montanez: Okay. Thank you, Adolfo.
Adolfo Castro Rivas: You're welcome.
Operator: Next question comes from Pedro Pascual [ph] with JP Morgan.
Unidentified Analyst: Adolfo, good morning. Thanks for taking my question. I guess, the answer is probably, no. But could we see as we're engaging more expansion or M&A activities? We still lack to the bidding documents, but the Brazilian government already announced new airport destinations [ph] maybe on a standalone basis or with a partner. Could you see, you guys are showing some interest, I think that's for the moment? Thanks.
Adolfo Castro Rivas: Hi, good morning. We are seeing, we are analyzing those opportunities. This will have to be shared with my board during our next session, particularly the board have not been very happy with investments there after what we saw during the first round of the privatization process. I don't know what the outcome is going to be, but I'm not too optimistic about it.
Unidentified Analyst: Okay. That's very helpful. Thank you.
Adolfo Castro Rivas: You're welcome.
Operator: Next question comes from Gilberto Garcia with Barclays.
Gilberto Garcia: Hi, good morning. Thank you for the call. You had a pretty significant decrease in accounts receivable. Are you restricting credit to any of your airline customers? Thank you.
Adolfo Castro Rivas: Hi, good morning. The reduction you are seeing is because of the seasonality, we do not have changed anything in relation with our policy - our credit policy to customers. So everything, I would say, is normal. In terms of that, my final comment will be that all the airlines are paying us on time. So we do not have any trouble there.
Gilberto Garcia: Thank you very much.
Adolfo Castro Rivas: You're welcome.
Operator: I'll take our next question from Luis Prieto with Nau Securities.
Luis Prieto: Adolfo, hi. Luis Prieto. I have two very short clarification questions. The first one is regarding the damage reconstruction work you mentioned in Puerto Rico. You said between $50 million - $60 million, and regarding the $10 million I wanted to clarify whether that's the maximum coverage of your policy, or that is the excess above which the policy covers your expenses? And my second question is you talked about submission of your proposal for the new entity by the end of the year. When would the government come back to you and what sort of steps and when would we have a final decision? Thank you.
Adolfo Castro Rivas: Hi, good morning. Yes, to be clear on the $60 million and the $10 million, $60 million is the best guess in terms of a number or the reconstruction processes. That is for the moment, our best guess of how much we will have to spend. To be construct the damages at the infrastructure of San Juan, Puerto Rico because of Hurricane Maria. In terms of the $10 million that is the maximum deductible in the case of catastrophic event. I believe that we will not reach the $10 million, but of course I cannot share with you an exact or precise or accurate number of how much this will cost to the company. But that of course is the maximum amount of the company will have to pay in terms of a catastrophic event. In terms of the MDP yes, we should deliver our proposal before the year is over, and the government have one year to come back with those in terms of the approval for CapEx and the maximum rate.
Luis Prieto: And when they come back to you, that's the final decision. There is no back and forth, and then between with public documents. It's your submission and they come back within a year or too?
Adolfo Castro Rivas: Well, of course it's not just one meeting to decide all of these…
Luis Prieto: But on the public side, that we will know…
Adolfo Castro Rivas: No, well, basically have these works is - it's a very close cooperative process, because of first thing that they have to review is the passenger traffic projection. Then they will have to go and visit every single one of the airports we have to see the inventory of the airport, but in terms of the way the assets - how the assets are today. Then they review every single project we present to them normally an MDP for the nine airports should represent around 300 projects. And finally, they make the calculations in accordance with approval of the CapEx and the passenger traffic and the discount rate to fix the proposal of the maximum rate.
Luis Prieto: Excellent. Thank you.
Adolfo Castro Rivas: Thank you.
Operator: Next question comes from Ricardo Alvez with Morgan Stanley.
Ricardo Alvez: Hi, Adolfo. Thanks for the question. Actually very questions, one is actually a clarification. You mentioned the five to six times multiple. It was not clear to me what kind of multiple you're talking about, if you could clarify that please. And the other one, again, related to the Terminal 4, if you could talk a little bit more about this transition period. I mean, you're going to open the terminal now in - by the end of October. So maybe if you could give a little bit of color, when you're planning to close the Terminal 1? How can we see the mix of traffic between international and domestic in the new terminal, any kind of color on how you're going to be operating, how you're going to do the transition? That would be helpful. Thank you.
Adolfo Castro Rivas: Well, in terms of the multiple, it's EBITDA terms. In terms of Terminal 4, yes, we really expect to open that the October 31 this year. Of course, we will not expect to open - well, not to open, to expect to move or transfer all the airlines from Terminal 2 to Terminal 4 the same day. So the outcome is to be able to move 14 airlines. We will be moving them one by one I would say with a ramp up during three weeks more or less. Then what we expect is to normalize the operation in Terminal 4 and probably during the first quarter next year we will move the airlines that are operating in Terminal 1 today to Terminal 2.
Ricardo Alvez: Okay. That's clear. Thank you.
Adolfo Castro Rivas: You're welcome.
Operator: [Operator Instructions] We next move to Josh Milberg with Morgan Stanley.
Josh Milberg: Hey, Adolfo. Thanks for the question. You touched on this already, but I just wanted to get a little more clarity on the duration of Airplan. In the document that you guys released last night, I think it indicates that this will depend on the sum of the revenues generated by the relevant airports. And I was just hoping if you could give us an idea of what the revenue thresholds are or what kind of growth you need to come out at the low-end of that range, 2032?
Adolfo Castro Rivas: Okay, Josh, hi, good morning. Hey, what I said is the term is variable in terms of when the company recuperates the regulated asset. The company recuperates the regulated asset with the regulated returns, sorry, the regulated revenues. Regulated revenues are basically airport activity, okay. So it's hard to say when these may be recovered, because you have a lot of variables into the equation. As you are mentioning one of them, of course, has to do with the growth in passenger traffic. The other one could be the U.S. dollar against the Colombian peso, because of the international traffic. And of course, most of the traffic we have in those airports, it's domestic, but a piece of that is - it has to do with international traffic where it's related to U.S. dollars. And finally, of course, it has to do with inflation there. For the moment, what you can use is the lowest part of the thing, which could be 2032.
Josh Milberg: Okay. Thanks for that. It's very helpful.
Adolfo Castro Rivas: And of course, this will be adjusted in the case, there is a review on the document, okay. As I said before, this company has been able to review 20 times the document and the period has been extended because of this situation in the past.
Josh Milberg: But you think it makes sense to be conservative to assume 2032?
Adolfo Castro Rivas: That's exactly what I'm saying with the correct conditions.
Josh Milberg: Got it, thanks so much.
Adolfo Castro Rivas: You're welcome.
Operator: [Operator Instructions] And, sir, there appears no further questions. I'd like to turn it back to you for closing remarks.
Adolfo Castro Rivas: Thank you, Shannon. And thank you, everybody, for joining us today on this conference call for the third quarter results. Have a great weekend. Goodbye.
Operator: Thank you, ladies and gentlemen. That does conclude our conference call for today. Have a great weekend. You may now disconnect.